Sigve Brekke: Good morning to everyone, and welcome to the first quarter presentation. I'm pleased to see that the modernization of Telenor that we have done the last years has created a solid platform to handle the uncertainties we saw last year and also see coming into this year. Because of this, we see a strong achievement also in the current environment. We are delivering 5 million new subscribers in Pakistan, Myanmar and Bangladesh. And we have continued with full force our modernization program, yielding an OpEx reduction of 7% in this quarter and had strong cash flow of NOK 3.8 billion, on the same level as we saw in the first quarter last year. We see good development across all our business units, except for Myanmar. And this quarter, I would especially highlight the Nordic operations that continues to be robust with a strong EBITDA growth in especially Finland and in Denmark. Before I go into the quarter, I have to give some comments on Myanmar. We see an irregular, uncertain and deeply concerning situation. We are strongly condemning the use of violence, and we are focusing on keeping our employees safe. Prolonged mobile Internet shutdowns have severely impacted the people on Myanmar and the economy. And this is why Telenor repeatedly have called for the network to be kept open. Due to the worsening economic and business environment outlook and also a worsening of the security and human rights situation, we see limited prospects of improvements going forward. Based on this, we have fully impaired Telenor Myanmar with an amount of NOK 6.5 billion in this quarter. Despite the challenging situation we see in the country, we still believe that we are making a difference when keeping our operations running, and we will strive to continue to do so at the best of our ability. And I come back to more about the situation in Myanmar later in the presentation. Let me then start with our operations in the Nordic. We see limited COVID effects in the regions, except their roaming shortfall. And as I already said, especially Finland and Denmark are delivering strong results. And let me go through the countries one by one. Finland delivers on the plans we had when we acquired the company, continued to see the speed upselling logic that we did from 3G to 4G and now do from 4G to 5G. And when we upsell a 4G customer to 5G, we typically get an uplift of around EUR 4. We also now have covered the - our network with 5G, and 37% of the population in our network is now 5G upgraded. We see the S&T growth of 3% and also a strong underlying EBITDA growth of 9%. This growth is also driven by increase in fixed broadband subscription. And the fixed S&T growth in the quarter was 6%. Then to Denmark. Telenor Denmark delivers on the value creation plan we put in place some years ago, and the focus has been and is on improving customer service and modernizing the operation. Out of that comes an OpEx reduction of 8%, which is more than offsetting the negative effects from the COVID-19 situation. The mobile subscriber base has now been growing for 5 quarters in a row, and it's up 2% compared with a year ago. The fixed subscriber base has also returned to growth due to strong interest for fiber products now available to most Danish households through OpenNet agreements. And then, last but not least, to Sweden. We have struggled in Sweden, I must admit that. But we are delivering on the turnaround plan. Last quarter, we stated that we expect a top line stabilization during the second quarter. And the development this quarter shows a continued subscriber growth. We added 39,000 new subscribers in the quarter on Q-on-Q, driven mainly by growth in the B2B segment, large enterprises, but we also see an improvement in the B2C segment. However, this is a competitive market, so the ARPU pressure continues across both the B2C and the B2B segment. But we still expect, as I said, stabilization during the second quarter. Then to Norway. Telenor Norway continues its growth and modernization agenda. And Norway is delivering a solid result - set of results also in this quarter. We are now, in Norway, at the peak in our infrastructure modernization. The copper decommissioning program is developing at full throttle, bringing more customers to future fixed solutions. The growth in the future-proof broadband continues. In this quarter, we added 8,000 new fiber connections, and we added also 8,000 new fixed wireless access customers. Altogether now, we have 79,000 FWA customers. However, this growth is not fully compensating for the loss in legacy products. We took out 22,000 DSL customers in this quarter. And this is the result of the program that we started a couple of years ago. We continued to see growth in value-added services. These are services we put on top of the data access. And we still see that about 50% of the ARPU growth is coming from these value-added services, in addition to also selling speed-based products. And this is contributing to a mobile domestic ARPU growth of 2%, despite the roaming drag of 2.3%. In addition to modernizing the infrastructure, we also modernized the rest of the operation in Norway. This gives an OpEx reduction of 2%. And with this, we managed to maintain the EBITDA level. Then to Asia. Throughout 2020 last year, we said that the biggest uncertainty in our portfolio is the duration of COVID situation in Asia. And this continues to be true as we now see the third wave in Asia. On top of this, we have the unprecedented and concerning development in Myanmar, which is significantly affecting our operation, the main effect then coming from the mobile data shutdown. With the 19% S&T decline in Myanmar for this quarter, this gives us a significant drag on the overall group S&T growth and also on the EBITDA. The graph you see on this slide, we have shown you this graph throughout last year and also going to this year. And it's an attempt to illustrate how we see the COVID situation affecting our operations. And we now see an improving trend, both in Malaysia and in Thailand as well as Bangladesh and Pakistan. Despite the COVID uncertainty, we expect a gradual recovery in these markets during the second half of the year. I'm also proud to see how our modernization programs are strengthening our operations in Asia and how the programs are yielding results despite the challenging business environment. For instance, in dtac in Thailand, we reduced OpEx with 14% in the quarter. And in Bangladesh, we reduced OpEx with 4% in the quarter. And this is coming both from organizational modernization, digitalizing customer journeys and infrastructure efficiencies. This is a slide I showed you at the Capital Markets Day a little bit more than a year ago, and it's showing the focus - strategy focus we have going forward. And we keep full force on the implementation of this strategy. When COVID hit us a year ago, we decided to accelerate some of the modernization initiatives, especially in the area of touch-free operation, digitalizing customer touch points and also to modernize our organizations further. This is then helping us to navigate true uncertainties and get back to growth. And our ambition is to come out from the COVID situation as an even stronger company and well positioned for future growth. We are also continuing our structural agenda that we have talked about now for several years, and the objective is to build stronger presence and market positions. We do this for value creation and also to be positioned for growth going forward in the B2B and the B2C segment. And as we have shown this quarter, reducing risk in our Asian portfolio and look for potential consolidation opportunities has been our focus and will continue to be so going forward. Our purpose to empower societies and focus on responsible business has never been more relevant. And we have, therefore, systematically now worked with the targets that we announced in this area at our Capital Markets Day a year ago. Then to Malaysia. We are executing on our strategies to strengthen our Asian portfolio. Telenor knows Asia. It is complicated and it is unpredictable, but we have been in the region now for close to 25 years. And we believe in Asia, there is still growth left on data connectivity, and the region is now on the way to catch up with more mature markets. We see a wave of digitalization to monetize, but it requires scale and sustainable positions. And when we see new technologies like 5G, IoT, AI and cloud, that is also now coming to Asia. And if you don't have the size and the scale, you will not be able to capture these growth opportunities. We think the key success is to be able to harvest the local synergies and, at the same time, capitalize on global scale and what we believe is a very strong operating model in the Telenor Group. One year ago, we established the Asian hub presence in Singapore. This was to secure that we are sitting closer to drive business in our 5 Asian markets, but also to sit closer to look at potential structural alternatives. And when we then recently announced the plans on a merger in Malaysia, it was then to create this leading player in this country. The new entity will have the size and financial capabilities to support Malaysia's digital aspiration and lead industry development in a connected society. We now are working together with Axiata Group towards finalizing agreements, and we expect this to be finalized within the second quarter. I do expect, as I have said before, further consolidations in Asia. And as stated, at Telenor, we are a value-driven company, and we are ready to participate if the conditions are right. Let me then end with some more on Myanmar. Telenor entered Myanmar in 2013, in a transition period for the country. And for those 6, 7 years, we have been a part of participating in the country's democracy process. Our operations were set up to demanding conditions, both when it comes to governance, policies and procedures. Since we entered, we have demonstrated how important communication services are to empower societies. And Telenor in Myanmar today is a modern operation set up with several partners to serve 18 million customers through a very efficient network and distribution partnership. Today, operating in Myanmar is a balancing act with several dilemmas. The safety of our employees versus maintaining our operations in the best possible way is one dilemma. Another one, it's closing our data network versus a strong belief in and support of freedom of speech and voicing our opinions, our views, when we disagree. And even in this critical situation, Telenor expressed our views to the authorities to reinstate communications and respect the right to freedom and expression of human rights. But as I already said, due to the human rights situation, the security and the worsening economic and business environment and that we see limited prospects of improvements going forward, we have decided to fully impair Telenor Myanmar and are looking into different alternatives going forward. But we do believe that we have made a difference as a business and as a telecom provider in this beautiful country. Our continued presence will depend on the development in the country and the ability to contribute positively to the people on Myanmar. And with that, I hand over to Tone.
Tone Bachke: Thank you, Sigve, and good morning, everyone. The operational results for the first quarter are in line with our expectations and what we communicated in February. The impact from the pandemic is ongoing, and lockdown and closed borders are continuing into 2021. Further, the strong performance in the first quarter last year gives us tough comparables this quarter. As a result, we see a 4% reduction in S&T revenues. We continue to steadily execute on our modernization agenda and, combined with other effects, we deliver an OpEx reduction of 7%, in line with the reduction in 2020. For the first quarter, the organic EBITDA decline was 2%. Despite the impact of the pandemic, we continue to deliver a strong cash flow of NOK 3.8 billion in the quarter. As Sigve said, as a consequence of the situation in Myanmar, we have concluded to do an impairment of NOK 6.5 billion this quarter. Let us have a closer look at the group figures, and I will start with the revenues. We see continued solid performance from Finland with a 3% S&T increase, driven by growth in both fixed mobile and ARPU from the upselling and 5G subscriptions. The strong development in Denmark continues, and they deliver a solid result with a 2% S&T growth from a larger mobile and fiber customer base. In Pakistan, 1.2 million subscriptions were added from a targeted go-to market and strategy - and spectrum re-farming strategy. Underlying S&T growth was 4%. Norway delivers as planned and continue to grow mobile domestic revenues by 2% from value-added services and upselling. Despite roaming impact and the modernization efforts related to the copper decommissioning being at its peak this year, we continued to see a strong domestic and fixed future growth. For Thailand and Malaysia, the loss of tourists and migrant revenues continued to impact the top line this quarter. However, the S&T revenue in Thailand was flat quarter-over-quarter. In Bangladesh, we saw a good subscriber growth of 1.7 million. However, the S&T revenues decreased by 3%, driven by somewhat lower economic activity and voice. And in Sweden, as Sigve said, their subscriber base continues to grow, but we still face tough competition in all markets. We see signs of improvement in consumer mobile, and we believe, as also said by Sigve, that we should see a stabilization during the second quarter this year. The unprecedented situation in Myanmar and the data network shutdown is heavily impacting our operations and leading to an S&T decline of 19% and is contributing to 1.3% of the overall decline in revenue. From an overall perspective and as you've seen, the main drivers for the 4% S&T decline was the impact of the situation in Myanmar, the continued tourist and migrant shortfall in Malaysia and Thailand and the roaming revenues, particularly in the Nordics. Continuing to the OpEx. In Q1, Telenor delivers another strong quarter with year-over-year OpEx reduction of 7%. The reductions continue to be realized across most categories and business units. We continue to see strong results from our structural programs, accounting for more than 1/3 of the total reduction. Of this 1/3, approximately network and IT - particularly network and IT, and together with organizational modernization, contribute positively. Furthermore, sales and marketing cost continued to be impacted by lower sales and commissions in Asia. These costs are expected to gradually return as we start to see market recovery. Other OpEx decreased across all business units with the biggest impact coming from lease capitalization, lower travel costs, improved bad debt provisions and also regulatory costs. In nominal terms, the OpEx reduction this quarter was NOK 700 million. The EBITDA decline was 2%. As you remember, last year, we ended Q1 on a strong note with a 3% increase in EBITDA. Our operations in Finland, Norway and Denmark continues to prove resilient despite the loss of the roaming revenues. In addition, Norway delivers a stable EBITDA from solid operations and the continued shift from legacy infrastructure to fiber 5G and better product offerings. The pressure we now see on revenues in certain markets follows through to the EBITDA, and this is particularly relevant for Bangladesh, Sweden and, of course, Myanmar. And as you can see, Myanmar contributed to 70% of the total decline, amounting to 1.5 percentage point of the EBITDA decline. Again, from an overall perspective, we are able to mitigate the revenue decline and handle the volatile situation by our strong operational performance. Moving to net income. Net income to equity holders of Telenor ASA in the first quarter was negative NOK 1.3 billion, which is a decrease of NOK 4.6 billion. The net income for the quarter is naturally heavily impacted by the impairment of Telenor Myanmar of NOK 6.5 billion. Together with the improvement in net financial items, these are the 2 major items impacting the change in net income compared to last year. If we look at CapEx, cash flow and leverage. As planned, CapEx increased compared to last year. In the first quarter, CapEx was NOK 3.7 billion, corresponding to a CapEx-to-sales ratio of 13%. CapEx in the quarter was driven by network modernization in several of our markets. The main drivers were fiber and 5G rollout in Norway, the 5G rollout in Finland and the network capacity and coverage expansion related to the 700-megahertz spectrum acquired at the end of last year in Thailand. In addition, we have higher 4G rollout in Bangladesh due to the import restrictions we faced at the beginning of last year. Free cash flow before M&A was NOK 3 billion. This is an increase of NOK 300 million compared to last year. Adjusted for the BTRC deposit payment in Bangladesh last year of NOK 1.1 billion, the remaining decrease of NOK 0.8 billion compared to last year was primarily due to the lower EBITDA and also the spectrum prepayments that we have had in Sweden and Bangladesh in the first quarter. Total free cash flow for the quarter was NOK 3.8 billion, which includes the second installment of NOK 1 billion from PPF related to the sale of our operations in CEE in 2018. The strengthening of the Norwegian kroner and a strong free cash flow led to the net debt reduction of approximately NOK 9 billion, leaving us with a leverage ratio at 1.8. Moving then to Myanmar. Since the coup on the 1st of February, we are experiencing a worsening economic and business environment outlook and also a deteriorating security and human rights situation in the country. The authorities ordered a nationwide shutdown on mobile data network from 15th of March. This is still ongoing. And this has severely impacted our customers, our operations and, naturally, also all the people of Myanmar. As you can see from the graph on this slide, data revenue accounted for approximately 60% of our revenue during 2020. This quarter, the data network shutdown from March 15 immediately led to S&T revenues being approximately halved. As a result of this worsening economic and business environment outlook, we have, in accordance with the accounting rules, made an impairment assessment of Telenor Myanmar. The assessment is based on scenario analysis incorporating discounted cash flows from various scenarios as well as the substantial uncertainty coming from the overall unstable situation. Based on this assessment, we have concluded to fully impair the equity value of Telenor Myanmar and the impairment in our books with an amount of NOK 6.5 billion in the quarter. After the impairment, net assets in Telenor Myanmar is approximately 0. Needless to say, this impairment assessment made based on the accounting rules is not impacting the running operations on the ground in Myanmar. However, and given the circumstances, we have limited visibility for the future development and outlook for Myanmar for 2021. This brings us to the outlook for 2021. As I said, the group performance in Q1 is in line with our expectations. However, as I just said, we have limited visibility into the development in Myanmar. And as of today, we are unable to provide a reliable forecast for Myanmar for this year. As a result, we have chosen to exclude Myanmar from our outlook. With the assumptions we had for Myanmar at the beginning of the year, we would not have guided differently than we do today if we had chosen to exclude Myanmar at that point. And also at that point, we expected Myanmar to have a slight negative impact on S&T and revenues - S&T revenues and EBITDA for the group for 2021. And based on this, our updated guidance, excluding Myanmar, is organic S&T revenues and EBITDA around 2020 level and the CapEx to sales of 15% to 16%. As the other companies in our portfolio have developed in line with our expectations, we continue to have the same outlook of their performance for 2021, and we continue to expect a gradual recovery in the second half of the year. That concludes my part, Sigve. So I believe we're ready for the Q&A.
Sigve Brekke: Yes, we are. Thank you, Tone. So we are ready for your calls, please.
Operator: [Operator Instructions]. We will now take our first question, Peter Nielsen from ABG.
Peter Nielsen: Sigve, I'd like to return to your initial comments about the robust - another robust quarter in the Nordics, which is certainly true. You've seen another very strong OpEx reductions performance here. And I know that you are giving guidance for your OpEx, Sigve, but at the moment, you're running way ahead of that guidance. So I was just wondering, as the pandemic impact become annualized, et cetera, and we move forward here for the rest of the year, how should we think about that very strong OpEx reduction you've seen? And if I may just follow up. On Norway, where your margin has reached a landmark level, I know you don't give guidance for margins on individual countries, Sigve, but does the current margin level in Norway frighten you? Should we be concerned about this or view it as encouraging?
Sigve Brekke: Yes, I'll take the last question first. And no, we are not commenting or giving any guiding on margin. But I just want to repeat what we have said several times, Norway is a very competitive market. And we not only see competition from the 3 network operators, but also from several service providers. And it's in that market we stay competitive, but also now, quite successfully, have been able to put value-added services on the top of the data access. And we're going to continue to do that. And at the same time, we are not done with our modernization programs. So I cannot give you any more views on that. When it comes to the Nordics, now some of this, of course, we have had closed markets in the Nordics as well. So some of the OpEx saving is also related to that. And what our focus is here in the Nordics is then, of course, it's to grow customers. We do that in Sweden now. We do that in Denmark now. We do that in Finland. And our focus is also now to move into 5G, and not only from a technology point of view, but also from a growth point of view. So we are now implementing with 5G also speed upsell, both in Finland and in Norway, as I talked about, but we are also now going into how can 5G create new business models for the B2B segment. And as you know, we talked about how one of the synergies that we want to bring into Finland is - it's on the B2B side. And that's also the reason why we developed and have created this, what I call, Nordic product hub to see, can we actually strengthen the position here on the Nordic level from - on the product and services side. So I know that I'm not completely answering your questions, but I think that's where we - I will leave it.
Tone Bachke: Sigve, maybe I should comment a bit on the OpEx.
Sigve Brekke: Yes. Please, Tone. Thank you.
Tone Bachke: Yes. Okay. So we have the outlook for the OpEx for the strategy period and then we are guiding on the EBITDA for this year. We are, as you say, now seeing an annualizing of the effect of - from the COVID situation. And beyond that, we will not provide any further OpEx as to the outlook.
Operator: Johanna Ahlqvist from SEB.
Johanna Ahlqvist: Two questions, if I may. The first one relates to Myanmar. I'm just wondering, what are your different alternatives in Myanmar? And as Myanmar still represents a quite big part of your cash flows, can you get cash out of the country as the situation lies today? And then my second question relates to Sweden. You mentioned that you expect a stabilization in Sweden in Q2. What will drive that stabilization?
Sigve Brekke: Yes. On Myanmar, the situation is very unpredictable and uncertain. So it's impossible for me to comment on what type of alternatives are we seeing. Right now, we are focusing on the security of our employees, and we are focusing on our 18 million customers. And the way we are trying to do that is also taking our values and our policies into account. And we think that we are contributing into this market, and we think that we are still making a difference. How that will develop in the coming weeks and month, it's impossible for me to comment on. On Sweden, if I take one step back, I think we have had a couple of challenges in Sweden. One has been infrastructure-related. And we have now replaced a BSS system of an IT system into a modernized platform. We are through that now. The other one was also then that we had to upgrade our 4G network together with our network partner, Tele2. That is also now done. And now we are starting to reposition the company in the market, and that's why you now see that we are able to have positive subscriber additions. And that, going forward, the growth should then come from those new customer additions that we have and both on the B2C segment, and hopefully, we will also be able to continue to do relatively well in the B2B. SME, however, is still very competitive, and we have to see how the market develops in that respect.
Johanna Ahlqvist: But can you comment - can you get cash out of Myanmar currently?
Sigve Brekke: Tone?
Tone Bachke: Yes. As we say, the shutdown of the data network has significantly impacted our S&T revenues since the 15th of March. The network remains closed. So our focus now is to - on the running operations and the business as such. And we have, as we said, fully impaired the equity value of the investment in Myanmar. Historically, the dividend payments from Myanmar has been subject to certain procedures, but I will not speculate on how this can be going forward, given the economic development that we now see.
Operator: Frank Maao from DNB.
Frank Maao: So I have a question regarding the net debt development. The net debt and net gearing was clearly lower than especially consensus expected. And my question relates to what extent and in what way this relates to the treatment of Myanmar in your accounts? How much of the debt reduction - net debt reduction is related to the treatment that you now - yes, on Myanmar now, given the write-down? And the micro question also is, in this context, what debt to net leasing or net debt commitments there still are relating to Myanmar and whether there is - could be still additional obligations for you in Myanmar despite the net equity being set to zero.
Tone Bachke: Thank you, Frank. The impairment assessment we made is described in Note 7 to the accounts. And what I can say is that of the NOK 9 billion reduction in net debt, less - one minor part of this is also related to Myanmar, but this is not the main driver for this reduction. Beyond that, I will not comment further.
Operator: Andrew Lee from Goldman Sachs.
Andrew Lee: I just had a question on Sweden, particularly after your peers reported the other week. Firstly, on your confidence of recovery to stabilization in the second quarter, I wonder if you could give some kind of bridge towards that. And then secondly, just on the scope for that to deliver growth going forward. There are some positive comments around inflation or price inflation from your peers and also in the scope of 5G to act as a support, perhaps even for speed-based pricing and upselling. Do you think we're at the point where that's something that you could participate in during 2021?
Sigve Brekke: Well, thanks for the question, but we are not commenting at all on price moves. So we need to see what the market is doing, and then we will make our decisions accordingly. But to your first part of the question, we think now that we are well positioned with, as I said, the infrastructure part piece in place, with a renewed market position and now returning to customer growth. And that's the base for us believing that we will be stabilizing revenues in the second quarter and, hopefully, from there, grow going forward. And it is in all the different segments. It is in the B2C, it's in the large enterprises and it's in SME. So - and - but we are a relatively small operator in Sweden. So we will also, of course, be dependent on how the industry is developing going forward.
Andrew Lee: Can I just follow up? I understand you can't - won't be able to comment on your commercial expectations for you specifically in 2021. But do you think the market is a more supportive platform for growth in Sweden today than it was last year or the year before? Or no real change?
Sigve Brekke: Again, I do not want to comment on that. I can only say that Finland - sorry, Sweden has been very competitive the last year and it still is. And we are preparing ourselves to take our fair share of this going forward. But then, of course, we need to see how the industry is developing. So - and then we make our decisions accordingly. We - but having said that, what I can say is that we are value-driven. We are not changing subscriber market share for the sake of it. We are value-driven in looking at profitable customers, and that is going to be our focus also going forward.
Operator: Ondrej Cabejsek from UBS.
Ondrej Cabejsek: I have two, if I may. One is on the lease capitalizations. Can you just give us an idea of what kind of annualized impact these have on your OpEx and EBITDA, and whether this is something that is strictly driven by your auditors or whether this is something that you're also doing perhaps a bit deliberately with respect to your guidance somehow? And then second question, please, on the copper sunsetting. It seems like this has an increasing impact on your legacy revenues, voice and copper. Is this kind of the case? Or is this more, i.e., the forced shutdowns and migration? Or is this more something perhaps that has to do with the pandemic and maybe some natural churn, et cetera?
Sigve Brekke: Now I can take the second one and then you take the first one. No, the second one is as planned. As you know, we had made a decision, was it 2 years ago, to completely shut down the copper network. The plan is to do that in the end of next year, 2022. And now we are executing on that plan. And now we see that coming out of the COVID situation, people are probably even more now dependent on better speed in their networks. So now we see that they are churning out. And that's why we are very focused now on the replacement products. And there are two replacement products we have, it's the fiber and it's the fixed wireless access. And that's why we are full speed on rolling those replacement products out while these customers are churning out. So this is very much in accordance with the plan. And it will go a little bit up and down in various quarters. Some quarters, more customers are churning out. Some quarters, we are going to add more future-proof access points. So this is - yes, this is the plan. And then after 2022, so after next year, all this is washed out, hopefully, both the revenue part of it, of course, but also the cost part of it. And then we have a real good network position that we can continue to upsell and upsell possibilities for our customers.
Tone Bachke: Yes. And then to the lease capitalization, we said that we had an overall OpEx reduction of around NOK 700 million in this quarter. Of this, around NOK 100 million came from the lease capitalization, and this is mainly related to DNA, Digi and dtac. And dtac is in respect of the CAT lease equipment reassessment. And then in DNA, this is the effect that we have seen over some quarters now, and that will be washed out in the third quarter this year. This is, of course, nothing to do with any guiding or any outlook assessment. This is based on having the proper accounting treatment when it comes to the various liabilities we have in our operations.
Operator: [Operator Instructions]. Next question, Ulrich Rathe from Jefferies.
Ulrich Rathe: My first question is going back to something you sort of alluded to during your prepared remarks. A minister has sort of attacked or rather sort of criticized the pricing environment overall in the industry in Norway and talked specifically about measures addressing that, such as limiting lock-in, simplifying public tenders and talking about encouraging new entry through the auction. Could you comment on these - on the potential impact of these measures? Do you think there is something you have to prepare for? Specifically, how do you think about the possibility that the auction terms might be adjusted beyond the reservation that's sort of implicit in the rules as they stand at the moment?
Sigve Brekke: What I can say is that Norway is a very, very regulated market. I think we are one of the most - or Telenor is one of the most regulated operators in Europe. We are regulated on mobile. Also B2C, we are regulated on B2C. And we are even regulated on broadband access. So we are so regulated. And you also have this margin squeeze where, for all the service providers that are using our network, we are regulated to have a buffer above the lowest prices that we had. So I think it's despite all those regulations that we are doing well. And this is coming actually from the strength we have in our network. And that's why we are investing so much in our network to make sure that we are fulfilling the subscriber expectations, not only on coverage, but also on quality. And in Norway now, a subscriber expects not only a good coverage in the cities, but all the way up to the middle of nowhere where he or she has the cabin. And it is that quality position we have that also give us the ability to then put new services, new products on top of the data connectivity. And there is a willingness to pay for that. So I will say that we are now using the position we have with very quality-focused customers to deliver on what they expect in a very, very regulated environment. Of course, then I cannot speculate on what may happen in the future. But I think that we already have taken most of the regulatory burden on our shoulders.
Ulrich Rathe: I'm going to use my second allowance here for the statement that at the beginning of the year, you wouldn't have guided any different from now, excluding Myanmar. So this is a reiteration. Could you sort of outline what you expected from Myanmar? Does that imply that you essentially expected flat revenues and EBITDA in Myanmar, give and take a little bit, of course? Could you just confirm that? Because obviously, market consensus expected a very significant decline in Myanmar at this stage already.
Tone Bachke: Yes. If we take one step back to 2020, Myanmar delivered a very solid result. They delivered an S&T growth of 7% throughout 2020. At the beginning of this year, we saw that Myanmar and our expectations was that they would slightly negative impact the - provide a slight negative impact on the group financial figures, both when it comes to EBITDA and also revenue. So that is what we have seen, but we see that it would not have, as I said, impacted how we would have guided. So that is giving some indications as to the levels. And that is what I can say on that topic.
Operator: Usman Ghazi from Berenberg.
Usman Ghazi: I just had a question with regards to Asia. Sigve, you mentioned that M&A remains on the table in Asia. But when I look at markets, obviously the only markets that are remaining 4-player markets are basically Pakistan and Myanmar, right? I mean the rest of the markets are 3-player markets. So I mean when you are talking about consolidation potential in Asia, the opportunity seems fairly limited outside of Malaysia. But I just wanted to check if that is just looking at things the wrong way or are you looking at fixed mobile convergence as an opportunity to scale? Or just any commentary regarding that would be helpful.
Sigve Brekke: Yes, I'll take the facts first. Out of the 5 markets we have in Asia, we have 3 players in Thailand. We will now have 3 players in Malaysia if the merger goes through. We have 3 players in Bangladesh. And then we have 4 players in Pakistan and also 4 players in Myanmar. So in that sense, you are right. We either cannot comment specifically on your question. I can just say that when the opportunities are right for us from a value creation point of view, we will look at these consolidation alternatives. But what type of consolidation, when and in which markets, I cannot comment on.
Usman Ghazi: Okay. In that case, maybe if I can ask on Thailand then. I mean - so the market structure in Thailand seems to be changing over the last couple of months. You've had a bid for AIS. You've had TOT and CAT, that merger being approved. And you have a situation where the merging entities seem to want to be a significant third operator in the market, and you're obviously leasing spectrum from them. So I mean, are there - do you see the risk in that market with Telenor as an operation going up, given you're reliant on a lease from an operator that wants to play a more active role in the retail market? You've obviously got Singtel that might be exiting that market as well. So any commentary around that would be helpful.
Sigve Brekke: Yes, I cannot obviously comment on the potential acquisition of the holding company of AIS, also Intouch. So I don't know more about that, and you have read from the news. And on the merger of CAT and TOT, it's too early to say what type of company that will be potentially. I think it will take a long time for them just to merge their two companies together. So I can't speculate on that. So however, I think we now have a very good position in Thailand. We have struggled, as you know, over the last few years due to the spectrum situation. We are through that. And we also now, in the end of last year, got access to 700 spectrum, which is significantly helping us into rural coverage, but also then to deploy 700 for 5G. That's what you see coming through the numbers. So I'm pleased now to see that with the spectrum situation now being stabilized, we will return to growth. So I think I have to leave it with that. Yes. Is it - I'm a little bit confused with the message here. Is it one more question here?
Tone Bachke: Yes. I believe there is someone who would like to repeat.
Operator: Ondrej Cabejsek from UBS.
Ondrej Cabejsek: I have one follow-up question, if I may, on Myanmar - or 2, rather. In terms of CapEx in Myanmar, with data network shut down, is there a kind of run rate that you can give us in terms of maintenance or voice-related CapEx to sales that would kind of play into your free cash flow preservation while the data networks are shut down? If that question makes sense. And second one, if I just look at the service revenues in Myanmar, so it seems like you're managing to kind of convert about 15% of the missing data revenues into voice. Is that something that you think is sustainable? Or do you expect maybe more going forward? Or how do you see that developing as long as the data networks are shut down? If there's any comment possible.
Tone Bachke: Yes, thank you for the question. When it comes to the CapEx in Myanmar, at the moment, it is, as we have said, a very unpredictable and uncertain situation. We do have one of our most modern networks in Myanmar. And of course, we have a very prudent approach of how we are investing more in that network. And we think we have a good overview of what we need to do to maintain the services. But on an overall basis, we are looking at the lower CapEx level, given the current circumstances. Then to your question on data versus voice. In a situation where we have seen the data revenue, of course, not being or that we cannot provide the data services, we see that there has been an increased use of voice services. But going forward, it's very difficult to say how this will pan out. And it will depend, of course, on many factors, including whether or not the network will be opened again. So I think this is one of the elements that we are monitoring very carefully on a daily basis, basically. But it's very difficult to say how it will be going forward.
Sigve Brekke: Thank you, Tone. And I don't see any more callers. So I think that ends our Q&A session. And thanks for calling in. And knowing that we still have the COVID situation here, even in Europe, I hope you all stay safe. And I really also hope, Tone, that in one of the coming quarters, we can see some of you here in the audience.
Tone Bachke: Definitely.
Sigve Brekke: So with that, thanks a lot.
Tone Bachke: Thank you.